Operator: [Foreign Language - Korean] Good afternoon. Welcome to the conference call for the fiscal year 2015 fourth quarter earnings results by SK Telecom. This conference will start with a presentation, followed by a Q&A session. And now, we will begin the conference of the fiscal year 2015 fourth quarter earnings results by SK Telecom.
Jeong Hwan Choi: [Foreign Language - Korean] Good afternoon. I am Jeong Hwan Choi, the IRO of SK Telecom. Today's conference call will consist of the presentation on the earnings results for Q4, as well as the annual results for 2015 and the future management plans and strategic direction by our Executive Vice President, Keun-Joo Hwang of the Strategy and Planning Division, followed by a Q&A session. [Foreign Language - Korean] Today's call will provide consecutive interpretation. We also have here with us executives from the relevant business units to help deepen your understanding. [Foreign Language - Korean] I want to remind you that all the forward-looking statements are subject to change, depending on the macroeconomic and market situations. Let me now present Mr. Keun-Joo Hwang.
Keun-Joo Hwang: [Foreign Language - Korean] Good afternoon. This is Keun-Joo Hwang, Executive Vice President, Strategy and Planning Division at SK Telecom. [Foreign Language - Korean] For SK Telecom, 2015 was a year in which we laid the foundation for change, not only in our M&O business but also in the platform arena. [Foreign Language - Korean] First, SK Telecom shifted the paradigm of competition to revolve around retention. As a result, churn rate for the year reported 1.5%, the lowest since MNP began in 2004. Subscribers on the Band Data plan recorded 7 million as of the end of the fourth quarter, leading data usage growth. The success of the Luna phone, our exclusive model paved the way for more lower-end devices to launch and set an example of successfully targeting a niche market. As such, through innovation of core factors of the M&O business, the company further solidified its position as the market leader. [Foreign Language - Korean] Cumulative subscribers using products for specific segment in markets launched based on a detailed analysis of customer needs such as T Kids Phone or T Outdoor, surpassed 600,000 attesting its potential as a future Lifestyle Enhancement Platform. [Foreign Language - Korean] SK Telecom is also continuing our mid-to-long term journey towards the fruition of the three major platforms that we have emphasized throughout last year, including efforts to consolidate our media capabilities, as well as extending smart home services based on an open IoT platform. [Foreign Language - Korean] Let me now discuss the consolidated earnings highlights for Q4 and 2015. [Foreign Language - Korean] Revenue for 2015 recorded KRW 17,136.7 billion, down 0.2% year-on-year and KRW 4,379.3 billion for Q4, up 2.8% from the previous quarter, mainly due to revenue growth of subsidiaries including SK Planet and SK Broadband. [Foreign Language - Korean] The operating income and EBITDA for 2015 recorded KRW 1,708 billion and KRW 4,700.9 billion, a 6.4% and 0.3% decrease year-on-year, respectively, due to an increase in labor costs, as well as overall costs related to greater sales activities of subsidiaries. Due to the seasonality of the fourth quarter, operating income for Q4 decreased by 18.1% quarter-on-quarter at KRW 401.9 billion, while EBITDA decreased by 5.9% to report KRW 1,172.3 billion. [Foreign Language - Korean] Net income for the year recorded KRW 1,515.9 billion, down 15.8% year-on-year, mainly due to a smaller equity method income on SK Hynix and KRW 293.5 billion for the quarter, down 23.1% quarter-on-quarter. [Foreign Language - Korean] With that, I will now move on to management plans and the strategic direction for 2016. [Foreign Language - Korean] Our target consolidated revenue for 2016 is KRW 17.6 trillion excluding the impact of the acquisition of CJ Hellovision. While there are downside factors for SKT’s non-consolidated revenues such as the monthly discount plans, we will do our best to grow our revenue through efforts including introduction of new products and services that can maximize the value of data usage. [Foreign Language - Korean] CapEx for the past year was KRW 1,891.3 billion non-consolidated, which is more than KRW 100 billion less than the KRW 200 trillion guidance of the management plan. For 2016, our CapEx plan is set at KRW 200 trillion, which we plan to meet through efficient investments. [Foreign Language - Korean] Moving on to our plans to strengthen the competitiveness in the telecommunications market, we will first introduce various products that utilize our exclusive devices, price plans, partnerships and bundled products beginning in the first quarter to better accommodate comprehensive customer needs, thereby further solidifying our market leadership. [Foreign Language - Korean] Furthermore, we will continue to maintain a stable market trend through preempted rule-setting efforts and expand a new subscriber base under a retention-focused market operation. [Foreign Language - Korean] While continuing to grow our main revenue base, the LTE subscriber share, we will further strengthen the fundamentals of the telecommunications business by offering various multimedia content and optimal price plans during the process. [Foreign Language - Korean] Let us move on to the platform business. [Foreign Language - Korean] While we will focus our efforts on achieving an earnings turnaround by enhancing the core competitiveness and cutting costs, continuing a meaningful level of growth in the saturated M&O market is not an easy task. Under such circumstances, SK Telecom plans to overcome the limitations of M&O revenue growth by transforming into a platform company. [Foreign Language - Korean] As has been emphasized from last year, the company is pursuing three major platform businesses to seek future opportunities in areas of Lifestyle Enhancement, Advanced Media and IoT. The home-based competitiveness created through stronger media capabilities will translate into areas of IoT and lifestyle, thereby maximizing synergies and the platforms will become more interrelated with each level of growth. [Foreign Language - Korean] Regarding our Advanced Media, the subscriber number for our fixed-wireless broadcasting service surpassed 7.57 million as of the end of last year including the 4.08 million on Btv Mobile. In 2016, the company will transform into a true total media platform player through efforts such as the recent successful launch of an integrated mobile channel, as well as expanding the range of media services and developing new business models. [Foreign Language - Korean] In the IoT platform arena, we have continued efforts to enter major markets such as manufacturing, public services and smart home, while focusing on expanding the ecosystem of open platforms. Our smart home service, which was launched at this past May, will continue to grow with a target of 50 partner companies and 70 connected products within this year, thereby leading the IoT market. As we offer a wider variety of connected electronic goods, we will analyze customer lifestyles and provide new value. Beyond the smart home, we will also pioneer into new markets with new IoT technology through partnerships with other industries such as car, energy and security. [Foreign Language - Korean] In the area of Lifestyle Enhancement, the company will lay the foundation for profit by providing new value to our customers through various products and services that utilize our core M&O based competitiveness factors such as price, devices and partner company benefits. [Foreign Language - Korean] Regarding SK Planet, we have announced our plan to split and restructure the company according to different business areas such as commerce and platform. First, the commerce company will leverage its success in the domestic market to gain a stronger foothold in the global markets including Turkey, Indonesia and Malaysia, by strengthening the traditional factors of competitiveness such as Syrup and OK Cashbag, we will set in place a stepping stone for next commerce both at home and abroad. [Foreign Language - Korean] Lastly, I’d like to discuss shareholder return and capital management. [Foreign Language - Korean] As was shown in our decision to repurchase shares during the second half of last year, management will continue to enhance shareholder value in the New Year by prioritizing innovating enterprise value. As for the annual dividend for 2015, we are currently reviewing increasing the amounts to KRW 10,000 that includes the interim dividend of KRW 1,000 which will be made final after the meeting of the Board of Directors as well as the Annual General Shareholders’ Meeting. [Foreign Language - Korean] SK Telecom will pursue growth that fits the company’s strategic direction such as our three major platform businesses to enhance enterprise value. However through flexible capital management, we will make sure to protect shareholder return during the investment process. The cash generated through growth will be used in a balanced manner in enhancing shareholder value as well as for seeking future growth and improving the financial structure. [Foreign Language - Korean] SK Telecom’s journey to break through the limitations of the telecommunications sector has already begun. As we seek to transform into a platform company, we will not remain complacent with maintaining the current status of the M&O business, but make greater efforts to achieve an earnings turnaround. We will also make sure to communicate continuously with the market as our major strategies become more concrete. We truly appreciate all of your interest and support in SK Telecom. [Foreign Language - Korean] We will now begin the Q&A session.
Operator: [Foreign Language - Korean] Now Q&A session will begin. [Operator Instructions] In order to allow as many Q&A chances as possible within the restricted time, we would appreciate only two questions for each participant. [Foreign Language - Korean] The first question will be provided by Josh Bae from UBS. And the next question will be provided by Jongin Yang from Korea Investment & Securities. Mr. Bae, please go ahead sir.
Josh Bae: Yes, hi. Thank you for the call. I have two questions. First is regarding the dividends. I understand you plan to increase the 2015 year-end dividend to KRW 9,000 per share. If you could share with us your thoughts on the dividend outlook for 2016 and beyond, can we expect a further increase going forward as well? My second question is regarding the earnings outlook, or I guess the earnings potential of SKT. In the second half of 2015, we saw the marketing cost stabilizing, LTE penetration increasing, however, we saw the mobile service revenue and also the earnings continued to come in below what the market was expecting. So going forward, should we expect this as the norm, or is there a reason for us to believe that earnings can rebound in the future? Thank you. [Foreign Language - Korean]
Keun-Joo Hwang: [Foreign Language - Korean] Thank you for your question. [Foreign Language - Korean] First, regarding your question on the dividend policy for 2016 and further, when - in terms of 2015, we are, as you mentioned, reviewing an option to increase the annual dividend by KRW 600. As for the dividend for 2016, we will be decided next year taking into consideration various market operation environment issues as well as the financial state of the company. However at this particular juncture, we believe that the dividend for next year will remain at similar level as that of this past year. And in a longer term perspective, as was mentioned in the opening speech, in order to lay the foundation for continued growth in the future, SK Telecom plans to transform into the next generation platform player at all costs. And therefore during the process of course, investment for growth will be inevitable, however throughout the process, SK Telecom will do everything in its power to maintain the current level of shareholder dividend and we are open to any further options in terms of reviewing the dividend policy taking into consideration of course the market situation and other relative factors. The company, again as mentioned in the opening speech, prioritizes shareholder value and so we will continue to strike an adequate balance between investing in growth and shareholder return. [Foreign Language - Korean] And to answer your second question regarding our earnings potential going forward, first of all when we look at SK Telecom only, going forward, because we see a further stabilizing of the marketing costs, at this particular time we do not see any factors for an increase in costs in the future. As for the revenue, we believe that it also will be positive taking into consideration factors including increasing data usage as well as the LTE subscriber share and launching of various segmented products. [Foreign Language - Korean] And when you look at the operating income, currently the operating income for SK Telecom only, non-consolidated, stands at KRW 1.66 trillion. However consolidated basis, it’s about KRW 1.7 trillion. So under these circumstances currently we do have an impact of the early retirement that amounts to about KRW 110 billion this year, non-consolidated of course, as well as we are expecting a turnaround of M&O revenues. So we believe that these are some of the areas in which we can see a greater revenue generation in the future. And secondly of course we will see an improvement of the earnings of our subsidiaries. Currently SK Broadband and SK Telink are showing very positive signs. And as for SK Planet, although due to overheated competition in the commerce arena, they will have to - they will need some time, but we do believe that in time they will definitely show improvements in their earnings. And also as for CJ Hellovision and their operating profit currently is above KRW 100 billion. So as we take CJ Hellovision under our umbrella, we believe that our operating profit has various positive factors in the future, and we believe that within two or three years, we will be able to reach KRW 2 trillion in terms of operating income.
Operator: The next question will be presented by Jongin Yang from Korea Investment & Securities. And the following question will presented by Justin Lee from BNP Paribas. Mr. Yang, please go ahead sir.
Jongin Yang: [Foreign Language - Korean] Thank you. I have the following two questions. Your ARPU for 2015 grew by 1.3%, however on a quarter-on-quarter basis, the ARPU for Q4 decreased. So I’d like to know about the ARPU outlook for the year 2016, and also I’d like to ask, can it grow compared to the previous year? And my second question has to do with the monthly discount price plans. I’d like to know the subscriber number outlook as well as its impact on your earnings. I’d also like to specifically hear about how it’s affected your earnings in the fourth quarter?
Keun-Joo Hwang: [Foreign Language - Korean] Yes, to answer your first question regarding the ARPU outlook for 2016, as you mentioned due to the increase in monthly discount plans, the ARPU for the fourth quarter did not grow, and overall of course there are some negative factors regarding this year’s ARPU, such as the monthly discount plans and greater second devices. However with a growing LTE subscriber share as well as LTE data usage growth, we believe that the current ARPU level will be maintained in the future. The LTE subscriber share, out of total customers, increased by 6% in 2015, and we believe that the similar rate of growth will be seen in 2016 as well. As for LTE data usage per capita, it grew by 0.9 gigabytes last year and we believe that this also will be maintained - this level of growth also will be maintained going forward. So in the mid-to-long term, ARPU can remain stagnant but it will indeed not fall. And we believe that SK Telecom, we are focusing more on growing our revenue rather than ARPU numbers, and this is because there are various positive factors that are not calculated in the ARPU numbers such as our revenue growth that we expect from new business operations and the platform business. So going forward, we will not - rather than focusing on ARPU numbers, we will focus more on greater net-adds due to creation of new value as well as overall revenue growth. [Foreign Language - Korean] Regarding your question on the monthly discount price plans, after the cap was lifted to 20% discount, the customers opting for the monthly discount plans has increased. However because the rate of growth has currently stabilized, we do not see a rapid or dramatic uptake for that matter. Currently at SK Telecom, about 20% of our new subscribers are opting for the monthly discount price plans and the accumulated number of customers on the monthly discount price plans stand at 2.05 million. [Foreign Language - Korean] As for the fourth quarter, the impact of the monthly discount price plans on the ARPU was at mid-1% levels, around 1.5%. Due to the monthly discount plans, there are of course negative factors on the ARPU side. However, due to greater share of customers that use more data, as well as growth in data usage volumes itself, we will do everything in our power to minimize the negative impact on our ARPU.
Operator: [Foreign Language - Korean] The next question will be presented by Justin Lee from BNP Paribas. And the following question would be presented by Jae-Min Ahn from NH Investment & Securities. Mr. Lee, please go ahead sir.
Justin Lee: [Foreign Language - Korean] Thank you for the opportunity. I have the following two questions. The first is we saw a revenue growth turn to positive during the fourth quarter regarding your subsidiaries. So I’d like to know the outlook on your subsidiaries’ revenue for 2016? My second question has to do with the company’s strategies regarding the frequency spectrum auction that is scheduled to be held in April.
Keun-Joo Hwang: [Foreign Language - Korean] Let me first address your question regarding the frequency spectrum auction. [Foreign Language - Korean] First, as you know, the Ministry of Science, ICT and Future Planning has scheduled the auction to be held in April this year. [Foreign Language - Korean] Originally the bandwidth that were put - that were scheduled to be put up for auction was about 140 megahertz on five different spectrums. However due to the recent cancellation of an approval of a fourth player entering the market, there is room for change. [Foreign Language - Korean] As of now, we believe that the government is planning to announce a detailed plan regarding the specifics of the auction within February. [Foreign Language - Korean] Currently to provide our customers with faster and more stable services and also to operate our networks in the most efficient way as possible, the company is currently undergoing the process of devising a plan for that. And regarding - and according to what the government announces, the company is ready to respond in a flexible manner. [Foreign Language - Korean] SK Telecom is reviewing various options to be able to secure everything that we need to provide our customers with the most optimal quality of service, as well as to make sure that our costs are used efficiently. [Foreign Language - Korean] Regarding your first question on the revenue outlook for our subsidiaries for 2015, I will hand it over to the relevant executives.
Kyung-Il Park: [Foreign Language - Korean] Hello. This is Park Kyung-Il, Head of the Strategic Planning Division. In 2015, our subsidiaries revenue, excluding Hynix, recorded KRW 7.75 trillion, and this was a KRW 470 billion increase year-on-year. [Foreign Language - Korean] And what made up the increase in our subsidiaries revenue compared to 2014 to break it down: PS&M was responsible for about KRW 180 billion; SK Planet was responsible for about KRW 140 billion; and SK Broadband was responsible for about KRW 70 billion. [Foreign Language - Korean] You asked about the subsidiaries revenue outlook for 2016. Although it would be difficult for me to provide you a detailed number per company, overall we will be able to see a growth of over KRW 400 billion, which is the similar level of last year.
Operator: The next question will be presented by Jae-Min Ahn from NH Investment & Securities. And the following question will be presented by Jee-Hyun Moon from KDB Daewoo Securities. Mr. Ahn, please go ahead sir.
Jae-Min Ahn: [Foreign Language - Korean] Thank you for this opportunity. I have two questions. The first has to do with the acquisition of CJ Hellovision, which is currently under process. So I’d like to know about your media strategy direction regarding the acquisition of CJ Hellovision going forward? My second question also has to do with the future strategies at this time regarding the splitting and merging of business divisions in SK Planet. I’d like to hear about your future plans regarding this matter as well as growth outlook.
Keun-Joo Hwang: [Foreign Language - Korean] Thank you for your question. Let me first address the media strategy for after the merger of CJ Hellovision. [Foreign Language - Korean] After it’s been approved, we will see a new entity. [Foreign Language - Korean] The merged entity, based on economy of scale, will create a new competition structure. This includes conversions of telecommunications and broadcasting, as well as further development of related technologies and infrastructure and stronger content provided through various partnerships. [Foreign Language - Korean] To do so, we will present a differentiated level of services that combines high-speed internet and cable TV. [Foreign Language - Korean] And what’s at the very core is that we will shift away from the traditional exhausting competition in the cable TV industry that revolved around higher level of subsidies and transform it into a new paradigm of competition that focuses more on providing new services. [Foreign Language - Korean] Secondly, we will make sure to strengthen our content competitiveness. To achieve so, we will actively invest in various new forms including MCNs and one-person media as well as UHD. And by doing so, we will diversify our range of content provided as well as rather than terms and services. [Foreign Language - Korean] And in order to achieve a win-win structure of both the media industry and the content industry, we will invest over KRW 150 billion in new startup companies and other content. [Foreign Language - Korean] Next, let me address your question regarding the splitting and merging of SK Planet and its future outlook. [Foreign Language - Korean] First, SK Planet will focus solely on the commerce arena. So it will be in charge and focus its efforts on the O2O business including the marketplace and OCB. [Foreign Language - Korean] On the global side, we will make sure that 11th Street becomes a solid number one player in markets including Turkey, Indonesia and Malaysia. And as for Shopkick in the United States, we will make sure that it becomes a strong and unmatched O2O business. [Foreign Language - Korean] Next, let me explain about the three different areas or divisions of business that will be split from SK Planet. The first branch is currently called the SK Platform or it is referred to as SK Platform and this will be in charge of developing and executing and managing various platform services. [Foreign Language - Korean] Secondly, the T-Map services or the LBS, location-based service area, we, as you know, will internalize this business in SK Telecom so that it may become an unmatched number one player in the overall LBS area and not just on navigation services. [Foreign Language - Korean] Lastly, the third branch is the store service which is represented by the T Store. [Foreign Language - Korean] As you know during the first half of 2015, one store was released which is an integrated store of all three operators. [Foreign Language - Korean] With the splitting of T Store and also based on the one store service, SK Telecom will cooperate with various partners and create a new market. And through these efforts, we are planning to actively compete against companies like Apple and Google. [Foreign Language - Korean] So that was my answer to your questions. And to add a little bit to your first question regarding the media strategy, as you may know, we launched a service by the name Oksusu on January 28. So I will have the relevant executives explain to you a little bit about what the service means and the future outlook.
Kim Jong-Won: [Foreign Language - Korean] Hello, this is Kim Jong-Won, Head of the Media business. On January 28, as was mentioned before, we launched a completely new mobile media platform by the name, Oksusu, which combines our traditional Btv mobile and the Hoppin service. [Foreign Language - Korean] The integrated platform by the name, Oksusu, aims to become the nation’s number one media platform that provides various customized services and innovative mobile content. [Foreign Language - Korean] Firstly when it comes to our personalized or customized service offerings, which include taking into consideration various customers genders or their preferences, we already are providing more than 10,000 different contents that are customized. So we believe that this is something that is a very competitiveness for us when it comes to competing against global players as well. [Foreign Language - Korean] Also we provide over 100 real-time channels and we also provide sports content on 33 different types of sports, which is the largest, and also we provide various global contents that were not currently traditionally available and we believe that we can become an integrated media service. [Foreign Language - Korean] For the past four days since its launch, over two million downloads happened in terms of the actual application and the usage - and the number of users is doubling by the day. [Foreign Language - Korean] Through such innovations in 2016, Oksusu will aim to activate the content ecosystem and lead the way to innovation. [Foreign Language - Korean] Thank you.
Operator: [Foreign Language - Korean] The next question will be presented by Jee-Hyun Moon by KDB Daewoo Securities. And the following question will be presented by Stanley Yang from JP Morgan. Ms. Moon, please ahead ma’am.
Jee-Hyun Moon: [Foreign Language - Korean] Thank you. I have the following two questions. The first is, when we look at your mobile service revenue, it decreased in 2015, and I believe that this is the first time since 2010. So is this something that we can expect for 2016 as well? And my second question is, it has to do with your launching of exclusive devices. I believe that this is something quite notable when compared to your competitors. Do you plan on continuing to launch further exclusive models and also what are some of the impacts on your net additions as well as marketing costs due to the launching of exclusive devices?
Keun-Joo Hwang: [Foreign Language - Korean] First, I want to thank you for your question as well as your concern regarding the mobile service revenue. [Foreign Language - Korean] As was mentioned before, the monthly discount price plans as well as the fact that about 20% of our new subscribers are opting for these plans on top of the evolution of our sign-up fees that took place in November of 2014, these are all the major factors of a falling mobile service revenue. [Foreign Language - Korean] As was mentioned before, SK Telecom’s LTE penetration only stands at around 66%, which is significantly lower compared to around 80% levels of our competitors. So I believe that there is quite some potential here. [Foreign Language - Korean] Also in terms of data usage per user, currently SK Telecom’s number stands at about 3.9 gigabytes which is still - which means that we still have room for growth when compared to the same number of the competitors. [Foreign Language - Korean] And thirdly, when it comes to second device users which include various services that we offer including T Kids Phone, T Outdoor service and T Pet, we currently have over 600,000 subscribers on second devices alone. And at our company, we plan to increase this number to over one million throughout this year. [Foreign Language - Korean] And lastly, we will not remain the current service provider but in connection with various platform businesses, specifically including the Lifestyle Enhancement Platform, we believe that there is enough room for a further growth in terms of profits. So I believe that all of these factors will be able to contribute to growth in our revenue. [Foreign Language - Korean] Lastly to answer your question regarding whether we will or will not continue to launch exclusive models and the impact it has on our earnings. [Foreign Language - Korean] At SK Telecom, we believe that there is a strong customer need in terms of lower end phones. So going forward, we will continue to launch exclusive mid to higher - mid to lower end phones. [Foreign Language - Korean] I will hand the mike over to the relevant executives to give you further explanation regarding the impact they have had on our numbers.
Lim Bong-Ho: [Foreign Language - Korean] This is Lim Bong-Ho, Head of the Life Value Strategy Division. As you mentioned, we launched the Luna phone in 2015 as well as the Sol phone, and this trend is something that we expect to continue in 2016. The exclusive phones are very helpful to our business in that it allows us to acquire new subscribers at a very cost efficient manner. [Foreign Language - Korean] And also aside from handsets, we are also planning to launch various segment specific second devices. We believe that such devices will contribute to greater net-adds in these particular different market segments. Thank you.
Operator: [Foreign Language - Korean] The next question will be presented by Stanley Yang from JP Morgan. And the following question will be presented by Hong-Shik Kim from Hana Financial Investment. My Yang, please go ahead sir.
Stanley Yang: [Foreign Language - Korean] I have one question and it has to do with your profit growth in 2016. In 2015, when we considered a ERP, you say that the operating profit was flat and I think that in 2016 we are not looking at an easy market environment. So I’d like to hear from you, your outlook on profit growth, specifically separately for your non-consolidated profit and that of your subsidiaries. I believe that when it comes to non-consolidated profit growth aside from your market operation, I think you will need to take a more efficient approach. So I’d like to hear your ideas on that. And as for your subsidiaries, are there being - are there a great investments being made regarding SK Planet and 11th street? And I asked because I think - I believe that you may need greater investments to be able to compete with your competitors like Kupang [ph]. So I’d like to hear your thoughts on that as well?
Keun-Joo Hwang: [Foreign Language - Korean] Thank you. Let me first address your question, particularly on SK Telecom only. [Foreign Language - Korean] First, as was mentioned throughout the call, due to greater LTE subscriber numbers as well as increase in data usage per capita, we will also be offering various price plans that are on the higher end side. So these are all factors from which we can expect a positive revenue outlook. [Foreign Language - Korean] And on the cost side, as you can see in 2015, we managed to cut costs - cut marketing costs by over KRW 500 billion, and I believe that this is a trend that we plan to continue going forward. Aside from marketing costs there, we have taken various very harsh cost cutting efforts in over - in various areas of our business operation, and by doing so, we believe that the revenue will either remain or grow. And also through further cost cutting efforts, SKT non-consolidated profits can also see a positive turn. [Foreign Language - Korean] As for SK Planet, as was mentioned before when regarding a similar question, SK Planet was split to only focus on the commerce business area. [Foreign Language - Korean] To make sure that SK Planet grows into an unmatched number one commerce player, we are planning to move forward with our business in a quite aggressive manner, and accordingly, we believe that on the short-term outlook there could be some losses or costs curtailed in that process. [Foreign Language - Korean] And as you mentioned in your question, in order for us to respond effectively to the aggressive investing strategies of our competitors such as Kupang [ph], we believe that SK Telecom must also be aggressive in that area in terms of investment. [Foreign Language - Korean] And as for the funding for these investments, we will utilize SK Planet’s cash which currently stands at over KRW 500 billion, as well as the around KRW 220 billion of proceeds for loan and if we believe that additional funding is necessary, we will look into various options including external funding. [Foreign Language - Korean] Lastly, regarding CJ Hellovision, as well as of course SK Broadband. [Foreign Language - Korean] In terms of CJ Hellovision, it is currently by itself a very sound company with higher than KRW 100 billion of operating profit. So when it merges with SK Broadband, we believe that the merger itself will contribute to the consolidated process. [Foreign Language - Korean] However at this time, because the process of approval is currently happening and different details can change according to the results of that process, so we hope to communicate with you after the approval. [Foreign Language - Korean]
Operator: [Foreign Language - Korean] The last question will be presented by Hong-Shik Kim from Hana Financial Investment. Mr. Kim, please go ahead sir.
Hong-Shik Kim: Thank you for the opportunity to ask questions. And I’d like to begin by thanking you for considering increasing your dividend payout for the first time in eight years. I have two questions. The first has to do with the approval of your decision to merge with CJ Hellovision. After the approval, the market share including the MVNO subscribers will be 51%. I’d like to know going forward, will you take quite a strong stance to protect that market share as you have done so in the past, or do you not plan to focus on the market share number itself which has been the case recently? And secondly, there have been many questions regarding your new business strategies today, and I think that with that concern comes the concern for increased costs in 2016. So I’d like to know if that is something that we do in fact have to worry about? And personally I think that in order to pursue your platform business, may be going with M&As would be the smarter route. So I’d like to hear your thoughts on that as well.
Keun-Joo Hwang: [Foreign Language - Korean] Well, thank you. [Foreign Language - Korean] Let me first address your question regarding the market share of SK Telecom going forward. [Foreign Language - Korean] In the spring of 2015 through efforts including reducing or getting rid of the so-called abnormal subscriptions, our market share fell under the 50% level for the first time. [Foreign Language - Korean] However as I believe most of the market currently is aware of, SK Telecom has refrained from any excessive competition revolving around higher subsidy provision to win back our market share or any abnormal market operating activities. [Foreign Language - Korean] And the transition in terms of the competition paradigm that we have shown throughout last year, in other words focus shifting away from the previous consuming and exhausting competition to one that centers around newer and higher quality products and services that can better benefit our customers is something that we could plan to continue going forward. [Foreign Language - Korean] We believe that the overall transition of the market into one that centers more on retention will ultimately, and is currently, having positive impact on SK Telecom’s market share in the long-term. [Foreign Language - Korean] Also mentioned MVNO subscribers regarding the acquisition of CJ Hellovision. [Foreign Language - Korean] Currently the number of CJ Hellovision’s MVNO subscribers stand at about 850,000 and most of the subscribers of this number currently use KT. So you could say that they are KT subscribers. [Foreign Language - Korean] And in fact, counter to what some have concerns over regarding SK Telecom forcefully migrating CJ MVNOs subscribers to SK Telecom against their will is something that we have absolutely no plans of doing. [Foreign Language - Korean] And I understand that your second question has to do with concerns over investments regarding new business areas as well as our thoughts on going forward with further M&As for our platform business. [Foreign Language - Korean] As most of you are aware, due to the rapid convergence and changes in the ICT arena, we are seeing changes in the value chain and other market environment. [Foreign Language - Korean] During the process of our transformation into a platform company, so that SK Telecom cannot do all of this by itself. [Foreign Language - Korean] We believe that it is essential that an overall industry-related ecosystem is created and in order for this to take place, we believe that partnerships with startup companies and venture companies, small to medium enterprises, as well as when is necessary, larger corporations that have the capability that we lack is inevitable. [Foreign Language - Korean] So to sum it up, as you mentioned, we believe that an inorganic approach for growth for SK Telecom is essential. And to do so, we are open to various options, which includes equity investments, strategic partnerships and M&As. [Foreign Language - Korean] However I want to emphasize that throughout this process, all options for M&As will be considered with the - creating a balance between our financial soundness as well as shareholder return and growth for the company. And regarding such matters, we will be sure to move forward with it upon a consensus created among ourselves, our investors and analysts. [Foreign Language - Korean] That concludes my answer. [Foreign Language - Korean]
Jeong Hwan Choi: [Foreign Language - Korean] This concludes the earnings conference call for Q4 2015. Thank you.